Operator: Hello, and welcome to the Salem Communications' Third Quarter 2012 Earnings Conference Call. Today's call is being recorded. I would now like to turn the conference over to Mr. Evan Masyr, Senior Vice President and Chief Financial Officer. Please go ahead, sir. 
Evan Masyr: Thank you. And thank you, all, for joining us today for Salem Communications' Third Quarter 2012 Earnings Call. As a reminder, if you get disconnected at any time, you can dial in to area code (719) 325-4804, or listen from our website, www.salem.cc.
 Today, we're joined remotely by our Chief Executive Officer, Edward Atsinger; who is traveling today and in the room with me, I have Dave Santrella, President of our Radio division, and David Evans, President of Interactive and  Publishing. We will begin in just a moment with our prepared remarks. And once we're done, the conference call operator will come back, on the line, to instruct you on how to submit questions.
 Please be advised that statements made on this call that relate to future plans, events, financial results, prospects or performance are forward-looking statements, as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those anticipated as a result of certain risks and uncertainties. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof.
 This conference call also contains non-GAAP financial measures within the meaning of Regulation G; specifically, station operating income, EBITDA and adjusted EBITDA. In conformity with Regulation G, information required to accompany the disclosure of non-GAAP financial measures is available on the Investor Relations portion of the company's website at salem.cc.
 I would now like to turn the call over to Ed Atsinger. 
Edward Atsinger: Thanks, Evan, and I hope you can all hear me well. Thanks for joining the call. Let me begin my comments by focusing on what I think had been particularly important developments during the quarter.
 I think that this quarter, as much as any in any recent memory, has been significant in terms of some really attractive acquisitions, both on the Internet side and on the broadcast side. And I'll try to detail why I think those are attractive. But essentially, you'll see that they meet the quintessential test of tuck-in acquisitions, the content, the target audience, is right in the middle of our sweet spot. And the basis upon which we've acquired them will allow us to readily monetize the investment. So we're quite pleased with these acquisitions. And I think it was one of the standout developments in the quarter.
 And then operations, we're pretty much as one would expect. I mean, we gave guidance. Our operations for the quarter pretty much were within that -- within the guidance we gave, both on top line and in terms of expenses. So let me talk first, in more detail, about the revenue and then I'll give more color on the acquisitions.
 First of all, total revenue increased 4% for the quarter, year-over-year, as we delivered another good strong quarter of solid top line growth. Our Internet segment continues to be a strong growth driver, as revenues there increased 17%, while broadcast revenue is up 2% and Publishing revenue was essentially flat. Given that Miller Capital reports that industry revenue generally was flat for the quarter, our diversified business model continues to perform pretty well, even during these somewhat uncertain economic times.
 The block programming business foundational to our Christian Teaching Talk format continues to grow and shows its resilience, it was up 3% for the quarter on the Christian Teaching Talk side, I think all in with all of the formats it maybe is a closer to 2%. As we anticipated, political revenue was strong this quarter, with more than $1.5 million in revenue, compared to just over $100,000 in the same period last year.
 Maybe to put that in a little bit better perspective, let's look year-to-date. Year-to-date, we've booked $3.1 million. If we want to compare that with the last election year, which was 2010, we booked, during the same period, $2.4 million. So we're $700,000 above that. Now that was a midterm election, one wouldn't necessarily expect it to be as productive as a general. However, it did represent the strongest political year in the history of the company. So from that perspective, to exceed that is good news. 
 Now we don't have all of the results booked yet for fourth quarter, but we suspect when all of the dust settles and we get the numbers in, that we will meet or exceed the 2010 record-breaking performance. So we feel good about the political component this year.
 Growing our Internet businesses organically and through acquisitions continues to be a strategic focus for Salem. A 17% growth at our Internet segment for the second consecutive quarter is particularly gratifying. The acquisition of SermonSpice, which is one of the first of the 2 Internet acquisitions that took place in the quarter, which we purchased for $3 million in late August, added to our growth. However, it only contributed to 1 month, so excluding the revenue from this acquisition, our Internet segment still experienced 14% organic growth for the quarter.
 SermonSpice by the way, was the #2 competitor to our WorshipHouse Media, which we acquired in March of 2011. And now that we have both of these businesses under our ownership, we can provide churches an even wider assortment of media resources on a very cost-efficient basis.
 Additionally, we recently acquired Godvine.com, which we purchased for $4.2 million on October 1. And we expect that to further advance our Internet gross segment. Again, Godvine, from a target point of view, is right in the middle of our sweet spot. It's a leading source for Christian and family-friendly videos and Godvine currently enjoys approximately 3.5 million monthly visitors and nearly 30 million monthly page views. Additionally, it has over 2.9 million Facebook fans. We're able to operate this site on our existing GodTube infrastructure and tuck it right into our existing operation, which minimizes expenses and makes it a very cost-efficient acquisition for Salem.
 With the successful integration of acquisitions like SermonSpice and Godvine.com, completing -- or complementing our organic growth, you can imagine that we are very optimistic about our continued expansion, the continued expansion of our digital platform. Both top line, but particularly bottom line. Indeed, we are seeing margin expansion in this division, as operating income grew 23%.
 As I mentioned earlier, our broadcast revenue grew 2% for the quarter. July and August were both up 4%, but September, even in this political year, was down slightly. This is consistent with, by the way, with what we've heard from our colleagues across the Radio industry. October finished strong, just to kind of show this pattern, up almost 10%, while November and December are pacing in a much slower rate. Evan will have more to say about this when he discusses fourth quarter guidance in a few moments.
 As we continue to plan for growth through key investments and talent in advertising, our expenses were up slightly over 5% this quarter from the same period last year. However, our expenses have gone down slightly each quarter this year and we expect expenses to continue to decline, as we anniversary some of these investments.
 We might comment a bit on the investment side. I think it's worth some additional commentary. Our investments particularly are 2 local morning programs that we launched over the past few months are progressing very well for us.
 First, we launched the Heidi Harris Morning Show in KRLA in Los Angeles. Since launching the program in late April, we added 2 additional personalities, Ben Shapiro and Brian Whitman, to round the show out and enhance the show, which it is very much -- very substantially done. We feel the mix of these 3 personalities is working well now and the ratings are starting to show it. Specifically, our ratings and our target demographic for the station, men 35, 64, has increased 50%, while local spot, not including political, increase 15%.
 We also launched Mark Davis, in Dallas, on KSKY, our News Talk station in that market, and the response has been absolutely tremendous. Our ratings during mornings ride have doubled since Mark took over in May. We've also seen meaningful improvements in every day part of the station who are benefiting from that morning surge that Mark has brought the station in terms of cume and in terms of share. These improvements are already driving revenue in KSKY, as local spot, excluding political, was up 36% this quarter, as compared to last year. And with every week, the ratings continue to get better.
 Based on the revenue improvement and continued growth in ratings, we believe both of these investments will continue to pay significant future dividends. And in this time, when platforms are almost ubiquitous content and having content that we control, unique content, of course, is increasingly important to us. So having talent, both local and national, plays right into our strategy for our News Talk stations and some of the other platforms that we offer. We will look to identify and secure additional talent that we believe can produce similar rating results and revenue results as those opportunities present themselves.
 I've said on previous call this environment is creating unique M&A opportunities and we have been looking at a lot of potential targets. It seems that for every 10 or 15 you look at, maybe one will meet your criteria. But in addition to the 2 Internet acquisitions that I mentioned earlier, Godspice and Godvine -- SermonSpice, rather, and Godvine, we've been busy on the broadcast side. 
 We entered into agreements to acquire various assets associated with WMUU-FM in Greenville, South Carolina for a total consideration of $6 million. The assets of the radio station required for $3 million, $1 million at closing and $2 million in April 2014, which by the way, is after our first opportunity to refinance our bond. So that structure was put together to accommodate our refi opportunity.
 Related to this transaction, we entered into a strategic and mutual beneficial marketing and consulting agreement with Bob Jones University, a long time institution in the Greenville market with deep ties. A $3 million contribution will be entirely in the form of advertising credit across the entire Salem platform. The inventory will be spread over a 7-year period, but putting minimal demand on inventory and allowing us to secure the benefits of this arrangement, using sense of currency, mainly airtime spread over a long period of time.
 WMUU is 100,000-watt FM station. It is one of the best signals in the market. We are going to begin operating the station in early December under an LMA agreement and will program it in our News Talk format, featuring our line-up of syndicated talent.
 In addition to WMUU-FM, we agreed to purchase WJKR-FM in Columbus, Ohio for $4 million. November 1, we began operating this station with our News Talk format under and LMA agreement. While we've been trying for years to get another station in Columbus, we had not found an opportunity to acquire one that would fit our value and our quality requirements. In WJKR, we have indeed found one, we believe that we found a station that meets both criteria in terms of an excellent signal and at a price that we can monetize.
 I might just remind you that we -- when we talk about tuck-in acquisitions, again, all of these represent -- most of these acquisitions represent great tuck-in opportunities. In terms of Columbus, we've been operating a standalone AM Radio station for many years, since 1982, and had been trying to expand. This is the first good opportunity that we found that makes sense and meets our criteria.
 So we'll remain opportunistic, with respect to acquisition targets. Each opportunity will be evaluated as it presents itself and is consistent with our objective to reduce debt and improve leverage. In that regard, I might add, that on Tuesday of this week, we gave notice of our intention to redeem another $4 million of our bonds at the stated price of 103%. The redemption will take place on December 12 and that will leave us with $213.5 million outstanding on the original issue of $300 million bond and indebtedness. 
 So with that summary, let me turn the call over to Evan for a more detailed discussion of the quarter and he'll give you his guidance in more detail also for fourth quarter. Evan? 
Evan Masyr: Great. Thank you, Ed. For the third quarter, our total revenue increased 4% to $56.7 million, operating expenses on a recurring basis increased 6% to $47.7 million and adjusted EBITDA decreased 2% to $13.0 million.
 If we were to exclude the growth from political revenue, our overall revenue increased 4% as well. Net broadcast revenue increased 2% to $45.9 million and broadcast operating expenses increased 5% to $30.6 million, resulting in $15.3 million, or 2% decline in station operating income. This decline in SLI is largely due to increased salaries, primarily related to strategic talent acquisitions discussed by Ed earlier and some increases in bad debt expense.
 On a same station basis, net broadcast revenue increased 2% and SLI declined 2%. These same station results include broadcast revenue from 94 of our Radio stations and our network operations, representing 99.6% of our net broadcast revenue.
 I'll now review our results as far as revenue by format. 39 of our radio stations are programmed in our foundational Christian Teaching and Talk format. These stations contributed 36% of total revenue and total revenue on this format was flat, while block programming, as Ed discussed earlier, was up 3%. Revenue from our 11 contemporary Christian music stations contributed 19% of total revenue and had flat revenue for the quarter.
 Our 25 News Talk stations had an increase of 6% in revenue for the quarter. And overall, these stations contributed 11% of total revenue. The 7 stations that we have programmed in Spanish-language Christian Teaching and Talk grew revenue by 20% and this format makes up 1% of our total revenue. And finally on the Radio side, as far as strategic formats, we have 10 Radio stations in a business talk format and revenue from these stations was down 6%. This format contributes 2% of our total revenue.
 Our network revenue increased 19% for the quarter and represents 9% of total revenue. Our Publishing revenue remained consistent at $3 million and represents 5% of total revenue. Revenue from our Internet business -- businesses, increased 17% to $7.8 million and our Internet revenue is 14% of total revenue.
 As of September 30, our total bond debt was $217.5 million. In addition, we had $29.4 million drawn in our bank revolver and $15 million due in loans from 2 of our Directors. We also had $8.8 million in subordinated debt from another bank. This brings our total debt to $270.6 million at September 30. Our leverage ratio at September 30 was 4.97, versus the compliance covenant, which is 6.25.
 Now I went back and reviewed our financial history and this marks a fairly significant milestone for us, as our total leverage has not been below 5x since June of 2000. This is further evidence that our strategy of focused and opportunistic acquisitions, along with the commitment to reducing our debt is actually working. We will continue to work on getting our leverage down as we would like to ultimately have our leverage under 4x. Now keep in mind that we have an opportunity to significantly increase our free cash flow in about 13 months' time as our bonds become callable in December 15, 2013. This increase in free cash flow should position us well to reach our goal of getting under 4x in a relatively short timeframe.
 For the fourth quarter of 2012, we're projecting total revenue to increase 3% to 5% over the fourth quarter of 2011 total revenue of $57.1 million. And we're also protecting operating expenses to increase 3% to 6% compared to fourth quarter 2011 operating expenses of $46.0 million.
 And that concludes our prepared remarks. And I'd like to now answer any questions you may have and turn the call back over to the operator. 
Operator: [Operator Instructions] We'll take our first question from Eric Wold with B. Riley. 
Eric Wold: A couple of questions. I guess, one on the political ad spending, came in nicely versus last year -- or last cycle in 2010 as well as 2008. What are your thoughts in kind of how it progressed and how it came in? I know it's still -- you just kind of finished a couple of days ago, but how it kind of came in versus your expectations? And was there any kind of significant variance there? 
Edward Atsinger: The biggest piece of it, obviously comes in, in October and early November this week because you had 6 days in November. So it's a little early to sort it all out and I haven't looked at the numbers, but I think that it kind of came pretty much in terms of our expectations, what we expected. Maybe Evan or Dave Santrella can have a little additional color. A lot of it was generated by our national -- by our network organization. Now they generated for -- their sales organization generates it and it becomes part of national sales for our local stations, so it's reflected at the local station level. But it takes us a little while to sort through all the numbers. But either Evan or Dave, do you have any further color you can provide? 
Evan Masyr: Yes, we don't have exact numbers on it yet, Eric. It did come in, as Ed said, it came in about where we expected. It seems like a fair amount of it did come in on the network side. There was a lot of political advertising that came either network or ended up in the national spot buckets, less so on the local side. 
Eric Wold: Okay. And then a general question, I guess, across all platforms, what are you seeing in terms of the ad pricing environment over the next few quarters? 
Evan Masyr: From a radio perspective, I would say that the ad pricing environment right now is pretty tepid. Really more now than I think probably ever in at least my 30 years of experience in Radio. You look at pricing almost on a day-to-day basis, because you can suddenly have a hot week and there seems like there's a lot of demand and then you can go a little quieter in the following week. And so we really have to price things. We have to -- we pay more attention to inventory than we ever have and price based on some unique yield management models. 
Eric Wold: Okay and one more and then -- and a couple of just really short ones. I know you mentioned the acquisition, SermonSpice in there for 1 month with the 2 acquisition made, one was made in start of October, what should we think about in terms of combined -- if you want to give it individually, by combining revenues on annual basis from those 2 Internet acquisitions? 
Edward Atsinger: So, Evan, either you or Dave needs to take that question. It's somewhat theoretical, so maybe Dave wants to take it. 
David Evans: On an annualized basis, SermonSpice is in the revenue range of $1.5 million to $2 million. Godvine.com will be somewhere in the range $1 million to $1.5 million. 
Eric Wold: Perfect. And then just final 2 questions, just small P&L ones. One, corporate expenses have come down nicely this year, Q1 through Q3, a couple hundred thousand dollars a quarter or off in the start of the year. Should it be at a level that you think is good going forward or should we -- is there room to take that down even further? I know you've been making it higher, so is that likely to trend back up? 
Evan Masyr: I don't necessarily see as adding anything with respect to corporate expense new hires at this point. So kind of the run rate you see now should be pretty consistent. The only thing that could potentially move that, which we disclosed separately in the earnings release, would be any stock-based compensation because that has a little bit more of a variable component, little bit harder to predict depending on Board's actions. But otherwise, I think, corporate expenses is at about a level that you should see kind of continuing. 
Eric Wold: Okay and then lastly, tax rate, any comments there with the -- if you said it in the opening comments, I apologize, I might have missed it, but given the benefit this quarter versus what should we expect going forward? 
Evan Masyr: Yes, first of all with respect to the tax provision [ph] , we went through with our auditors and then we also have a tax firm that helps us analyzing some of our valuation reserves. And so we wound up releasing a portion of the reserve related to some state income taxes for where the statute had expired. We reevaluated the position and -- for the reserve, and we really determined that we won't have to add anything to it. So we'll see the tax rate probably go down for a little while. But as I've mentioned on previous calls, the way I would suggest people look at it really is the fact that we paid $400,000, $500,000 a year in taxes, cash taxes, and probably won't be paying taxes for at least another, probably, 7 years or so. 
Eric Wold: Okay, but in terms of a book tax rate for the P&L? 
Evan Masyr: Somewhere in the 35% range, I'd say, would be kind of normalized. 
Operator: And we'll take our next question from Barry Lucas with Gabelli & Company. 
Barry Lucas: A couple of items and this can be either for Ed or Dave. When I look at these -- talking about bolt-ons on the Internet space, do you have a goal or an objective either in absolute dollars or in percentage of total revenues where you would be happy to see the kind of digital contribution? 
Edward Atsinger: Well, internally, we've discussed this is a topic of continuous discussion. But in general, there's always been a consensus that we want to see this component of our business grow and we set intermediate targets and then longer-range targets. I think that somewhere between intermediate and longer range, we'd like to see this -- well, I'd say, a bit longer range. We'd like it to be -- to represent about 1/3 of our total revenue and grow it from there. But 1/3 is the sort of target now that we continue to look at and we want to do it both organically and with the right kinds of strategic tuck-in acquisitions. And we're making good progress on that front. But that seems to be where we need to go. 
David Evans: So in that, Barry, would be the combo of Internet plus Publishing. 
Barry Lucas: Okay, so we're talking, kind of ballpark, a little bit of growth, so something on the order of $80 million, give or take, between the 2 and today, you're roughly in the half that again, give or take. So... 
Edward Atsinger: Yes, Internet plus Publishing today is about 20% of revenue. So we'd need to go from 20% to 33% over a 3 to 5-year range. 
Barry Lucas: Right. And I would assume that most of that, even though you have found some things on the print side from time to time, most of that is going to come digitally. What does it take to get there? What does the pipeline look like, David, and what do you have to pay to kind of get to that level of revenues in broad brush terms. I know it would be very tough to nail that down. 
David Evans: The pipeline of big acquisitions, frankly, is modest. There's a larger pipeline of smaller acquisitions I think we're going to have to rely quite a bit on organic growth, growing page views, growing visits, growing unique visitors. So it's certainly going to be a combination of organic plus acquisition. In terms of the metrics we look at, my benchmark for deals is we're putting together projections that, assuming we hit those projections on the nose, would deliver a 20% plus ROI. So when you think about that in terms of an EBITDA multiple to get that kind of ROI, you're looking at 5 multiple type acquisitions. And when we found deals like that, we've pulled the trigger on them. If the deals are above that, we've tended to bid a little less and the deals haven't happened. 
Barry Lucas: Just maybe switching gears to the Radio side and just trying to get some color on the business because if we're looking at kind of low-single digits in terms of growth and you've described some -- either new talent or new shows that are ramping up very quickly, at least from a ratings standpoint, and this may not be fair, but if you had to think about -- or do you think about kind of a -- not a same station, but a same format basis, what the revenues look like? 
Edward Atsinger: Well, what do you mean? 
Barry Lucas: If you're -- I guess what I'm trying to get at is you're clearly investing in talent with new on-air personalities, or new shows, and expenses are running up a little bit ahead of the revenue growth. So I guess I'm trying to get a feel for is if you didn't have those new shows, what would the revenue and expense component kind of look like? 
Edward Atsinger: It would -- the -- at this stage in the game, the expenses are probably trumping the revenue, but the revenue's on target and as David said, when he does his acquisition on the Internet side, which is a 5 multiple, but it doesn't get there in year one. Typically we have a timeframe where we get there pretty quickly, year 2 expect to hit the 20% and beyond. But let me just say this, it's a much more complex strategy. If we look at the News Talk side, which we think does offer substantial opportunity for growth for a couple of reasons. First of all, we've got 3 initiatives that are at work that are helping us drive that business. One, we control that content. So we're a major syndicator of content as the platform becomes more agnostic in terms of how people deliver content, like the old phrase, "content is king" is going to take on a new meaning. So we like the fact that we own and we control unique content, both at a nationally syndicated level and also at a local level. And the upside opportunity, if you want to do an analysis, and just take a look at major groups, look at some of their key radio stations and the top markets they're in and look what they contribute to their bottom line. Take KFI and Los Angeles, for example, or take WLS and New York. Take a look at what they contribute when they hit the numbers, when they begin to get on a roll and they establish themselves as a bit of a heritage station, the upside is enormously -- the upside potential is enormous, very attractive. Now you can't get there -- if it were easy, everybody would do it. But we can make progress and we've seen progress doing it. And part of the path doing that in the key markets, as you get momentum, is to find the right kind of talent to enhance that overall line up. So we have the nationally syndicated talent we control. We'd like in -- in critical markets, we'd like to have drive time local talent so it's live local and gives us a whole different component, not only to build local revenue, but to drive ratings with local presence, local promotions and market promotions. So that's all part of our strategy. Now the other thing that we've done, in this regard -- with regard to these acquisitions, the Greenville, South Carolina, is a tremendous opportunity for us. Great market. We have lots of assets in that market. Greg Anderson who heads our Salem National, was President of Multimedia, Radio division for many years, headquartered in Greenfield and operated a group of stations that were the leading News Talk stations. Mike Gallagher, who we syndicate for talent was in that market for many, many years as a top-rated personality, he still is top-rated even though now we syndicate. He will come and join our -- he lived in Greenville for many years, has a big following there. Kate Hudson [ph], who manages our Vista Radio reps is headquartered in Greenville and we have long ties with the university that's associated with this radio station and we have consulted arrangement that will be very beneficial. We like the fact that we're moving to great FM facilities. This gives us a new dimension in markets where we have a competitive advantage. We can have a real opportunity in this market to be dominant because we have the best signal in this format by far. The major competitor is an AM station with coverage that's significantly inferior. Same thing is true in Columbus, Ohio. You have really one major competitor there in the News Talk format, for clear channel, our station is a better signal at night, it's an FM, first of all. The daytime is not as good, but it covers the whole market, the competitor's signal covers a much broader area. Nighttime, it's better. So it's a great opportunity to develop this format further. So it's a question of these nice tuck-in acquisitions with some significantly improved facilities with increased expansion on talent and it all kind of works together and if you put one piece on hold while you're working the strategy and the other, it's really penny wise and pound foolish. So we feel pretty good about the strategy and we think it will bear very tangible dividends. And the upside potential, if we can connect in Dallas, for example, because Mark Davis was an icon in that market, he's brought tremendous audience with him. Not only has his audience's queue more than doubled, the time we've had him there is in fact substantially beyond that. But we've seen this benefit across the rest of the day part. So the program that follows him and the program that follows the program that follows him, all of these are benefiting from a bounce, when you kind of get some traction and break into a new version cume for our station. Probably a longer answer than you wanted, but why not. 
Barry Lucas: By the way, great pedigree in Greenville for multimedia [indiscernible] and the rest of those folks, fondly remembered around here. Last area, Ed for you, particularly, any further thoughts you care to share on the dividend either regular and how that can -- might progress in 2013 or even as we ran out of string here at the end of '12 on a special? 
Edward Atsinger: Well, I would say this, that when the board approved this recurrent dividend, they set it a number that represented at the time, about 15% of our free cash flow. We are working on budgets for 2013. We're not done with them yet, but we usually get pretty close on our budgets and based upon what they produce in terms of free cash flow, if the Board elects to stay with the 15% benchmark and 15% of the projected cash flow for '13 is bigger than what it has been when they set the dividend, I would not at all be surprised to see the Board increase the dividend, but maintain the same percentage. They might even increase the percentage. I mean, I think, generally speaking, it's going to be dependent upon the performance and I would suspect that as the cash flow increases, the Board is going to be inclined, based upon the discussions, that -- inclined to increase that dividend. Certainly, there's no talk of not going forward with the dividend. The talk will be to benchmark it to that 15% for now. 
Operator: And we'll take our next question from with [indiscernible] with DG Capital. 
Unknown Analyst: Quick question on -- just seeing some operating leverage. I know you -- if you could just spend a little bit more time on that. You spoke about hiring some people in the -- over the past few quarters and when do you think your revenue is going to go up more than your expenses? 
Edward Atsinger: Well, hopefully we'll see some of that next year in 2013. I don't know where revenues -- I mean, Evan, can comment on tracking where it is right now to get top talent, you get what you pay for. So we were ready to pay the right value for what we got. And it will -- we're confident it will produce dividends. But I would say we'll start to see some very substantial, continued increase in revenue next year. 
Operator: [Operator Instructions] We'll go next to David Hebert with Wells Fargo Securities. 
David Hebert: I just wanted to ask you about the basket you have available for the 103% call redemption. How much is available for 2013? 
Evan Masyr: Okay, the way the basket works is we're allowed $30 million in any 12 month period. So with us doing $4 million on December 12, that leaves us the ability to do -- although we probably won't have the capital to do it, but $26 million in June. Assuming we do something less than that, we could pick up the remainder of the $30 million the following December. So we have -- basically, 2 more shots at it. We'll have, after this December, we'll do a redemption in June and we'll have the ability to do another redemption in December just before the bonds are callable. 
David Hebert: Okay, great. And then your leverage definition under the credit facility, does that exclude any of the subordinated debt or does it [ph] trade up? 
Evan Masyr: It includes all debt. 
David Hebert: Okay. And then if you could just comment on the block programming environment [ph] at this point. How do you see that playing out over the next couple of quarters? 
Evan Masyr: You kind of bubbled out there. Can you ask that question again, please? 
David Hebert: Right. Just on -- if you could comment on the outlook on -- or how block programming feels right now? 
Evan Masyr: We're optimistic about block programming going forward, both with our existing client base and other clients that we continue -- other partners that we continue to pursue. 
Edward Atsinger: And we're still in the process right now -- this is the process where we finalize rates for 2013. I don't think that process is complete yet, but we're in the midst of it and we'll have -- obviously have more information on our next call. But at this point, I think were all reasonably optimistic that we'll continue to make progress. There's always a little bit of churn, but not much. And some of the churn is on secondary releases as opposed to primary. You always have a few moving parts, but on balance, it should be positive. 
Operator: There are no further questions left in our queue. Mr. Atsinger, I'll turn the call back over to you for any closing comments. 
Edward Atsinger: Operator, thank you, and thanks to all of you for joining us. And thanks for the good questions. It's always stimulating and always helps us think about our business and how we can be better and more efficient. So, again, thank you, and we look forward to visiting with you again on our next quarterly call. 
Evan Masyr: Thank you. 
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation.